Operator: Good day and welcome to the Enterprise Financial Services Corp earnings call. Today's conference is being recorded. At this time, I would like to turn the conference over to Mr. Peter Benoist. Please go ahead sir.
Peter Benoist: Thank you, Stephanie, and good afternoon, everyone, and thank you for joining our Q3 earnings call. I would like to remind all listeners that during this call, we will be making forward-looking statements. Actual results may differ materially from results contemplated in our forward statements, as a result of various important factors, including those described in our 2013 Annual Report, on Form 10-K and in subsequent filings with the SEC. Forward-looking statements speak only as of today Thursday, October 23, 2014, and the company undertakes no obligation to update them in light of new information or future events. I would also like to remind you that you can find a copy of our third quarter press release, which includes reconciliations of non-GAAP financial measures referred to on our conference call in the Investor Relations section of our website. We are pleased with the overall results for the company for this quarter with reported earnings of $0.41 per fully diluted share, compared to $0.36 in the prior quarter. More importantly, our continued focus on core performance, net of the accounting effects of the current book showed strong results again as core pretax earnings increased 39% over the prior quarter and are up 5% year-over-year, and now represents 87% of reported earnings for the quarter. Performance drivers during the quarter included continued strong loan growth. Total new loans and advances were $350 million in the quarter, consistent with production levels in the prior quarter. C&I loans, commercial and industrial loans, were up 13% annualized during the quarter and 16% on a year-over-year basis. Total portfolio of loans increased at an 8% annualized rate and had increased 9% from the year ago period. We were encouraged to see an uptick in line utilization this quarter and very early signs of core loan yields stabilization as well. All of our specialized credit areas performed well in the quarter and loan growth momentum continued to build in our Kansas City and Phoenix markets. Asset quality showed continued improvement from already favorable levels. Reductions in nonperforming loans and other real estate loans resulted nonperforming assets of just 64 basis points of total assets at quarter-end. We recorded recoveries on a net basis in the quarter and net charge-offs, year-to-date, amounted to just six basis points. Provision expense in the quarter was nominal as we continued to provide primarily for loan growth. On the expense side of the business, we noted in the release the effect of efficiency related initiatives taken during the quarter, which resulted in a modest increase in non-fund expense. These initiatives are expected to generate approximately $2 million in annualized savings and we are also looking to implement initiatives that will continue to drive greater productivity and efficiency going forward. We expect our non-fund expense run rate to come in at the lower and of our guidance. Finally, I will ask Keene Turner to give you some additional color on the expected performance of our purchase credit impaired portfolio as a result of further analysis of both historical performance and current trends. We think the additional information will allow you to better understand management's expectations regarding the earnings impact of the covered book in future periods. Before I turn it over to Keene, though I want to ask Scott Goodman to comment further on loan growth characteristics during the quarter as well as our view on the markets and activity levels in general. Scott?
Scott Goodman: Thank you, Peter. During the third quarter, we experienced a continued trend of strong new loan activity with originations up solidly from the second quarter in both the C&I and commercial real estate sectors. A large portion of the net growth in the quarter was in the C&I portfolio, most notably from the niche lines of business. Our consumer and residential real estate sectors also contributed to the growth. And while new loan activity was solid for commercial real estate, the portfolio in this sector was flat for the quarter as our number of larger real estate loans paid off due to sale of properties, project completions, permanent market refinancing and continued competitive pressures in this sector. As I mentioned, our niche lines of business had favorable quarter with all sectors growing at low to moderate double-digit growth rates. Enterprise value lending, our senior debt offering to private equity for M&A transactions grew nicely and seems to be gaining momentum compared to the first half of 2014. The activity in the M&A space for lower middle market companies is robust and we are starting to see some increase in higher multiples and leverage. However, our strategy to choose disciplined investors has enabled us to maintain salient asset quality on the book. As we expand our EVL strategy within the Midwest region outside of our current footprint, we are developing new private equity relationships and our opportunity pipeline is growing nicely in this sector. Insurance premium finance tax credit lending and asset based lending also double-digit annualized growth as well. The niche sectors now combined represent roughly 25% of our total loan book. On a market level, all regions posted loan growth for the period. Kansas City, in particular, had a strong quarter with annualized growth of 16%. Activity in Kansas City was spread across C&I, commercial real estate and private banking. Steady calling and tractions from our talent acquisitions in 2013 is starting to produce results. Commercial real estate payoff levels, which hit a growth earlier in the year, declined materially in the quarter. Origination activity included a large new healthcare relationship, financing capital expansion needs of several existing clients and several midsized commercial real estate projects. Origination activity in St. Louis was solid and increasing compared to second quarter. Net growth was positive but somewhat muted by the aforementioned commercial real estate payoffs. Activity was generally strongest in the C&I category in St. Louis with several large new C&I relationships. Additional loan volume related to niche activities from EVL and insurance premium finance combined with sub-tax credit related loan activity associated with the new markets tax credit allocation, which was awarded to us earlier in 2014. Arizona's growth for the quarter was primarily commercial real estate focused, As the market continues to rebound, our team is leveraging its experience and knowledge to explicitly target proven investors where we can provide financing on a relationship basis. Activity this quarter includes both new client wins as well as expansion of existing commercial real estate relationships. Pipelines for the fourth quarter are expected to continue many of the transcribed in the third quarter. Improved traction in the Kansas City market and a seasonal uptick in M&A activity, both from our Kansas City and our St. Louis enterprise value lending teams, represent some of the larger opportunities. We also begun marketing that EVL capability in Arizona with developing interest. Competition remains intense in all of our markets. Commercial real estate continues to garner the most competitive emphasis with continued aggressive underwriting and pricing. Large banks are moving down market for the fundings and the real estate sector is also a more comfortable space for the smaller banks that are using hold levels more aggressively. Non-bank secondary markets are also open and borrowers are selectively using this as a means to lock up long-term fixed-rates. Relative to pricing fixed-rate bears little semblance to the equivalent of floating-rate spreads with 50 to 75 basis point discounts in the three to five year terms for fixed-rates. Despite increased competition in the C&I space, we are still generally able to hold the pricing premiums that I described in prior quarters with our existing clients as well as the specialty areas such as tax credit and EVL generating an additional premium of 50 to 100 basis points over typical C&I loans. Moving to fee income. Deposit service charges continue to grow nicely mainly associated with increasing treasury management revenue. Our elevated emphasis on managing standard and consistent sales process which emphasizes cross sell opportunities for all fee lines of business is gaining traction. Early success here has been most evident in the treasury management as our relationship managers work closely with treasury products specialist on every new C&I deal as well as scheduled annual relationship reviews of existing clients. We did collect a significant fee in the quarter of roughly $900,000, representing a success fee which related to a loan structured to bridge the sale of a large parcel of real estate. Nonperforming loans declined for the quarter and had several modest divisions in the quarter, all of which were all on a radar and we believe are well secured. Asset quality trends remained positive and our outlook does not point to any trends that would cause major concern. Now I would like to hand it over to our CFO, Keene Turner, for a financial review.
Keene Turner: Thank you, Scott. We reported $0.41 of earnings per diluted common share for the current quarter, which resulted in a return on average assets slightly above 1% and a return on average equity of 10.6%. During the third quarter, our financial performance continues to reflect the progress we are making by executing on our strategy, particularly as it relates to the performance of the core bank. Core pretax income totaled $10.9 million, which was a $3 million or 39% increase when compared to the linked quarter. There were several moving pieces to the increase and I want to highlight the items driving the growth. Peter and Scott discussed the loan growth we experienced and we are pleased with the $158 million of net loan growth during 2014. The 10% annualized growth rate has reflected gains in market share and we expect to target a similar level of growth on average to continue for the remainder of 2014 and beyond. Our loan growth over the last five quarters has resulted in measurable improvement in the run rate of core net interest income. Additionally net interest margin held up well as yields on portfolio loans experienced less compression than in prior quarters and credit results continue to be favorable, as we experienced net recoveries during the third quarter. Fee income was stable during the quarter. However, our success fee on a transaction that we expected to be nonrecurring improved core earnings by approximately $0.03 per diluted common share. Also our reported expenses for the quarter was slightly higher than the linked quarter at $21 million. However, the reported amounts included $1 million expense for FDIC clawback which I will discuss in further detail later and $200,000 of severance related expenses. Without these items, expenses would have been below $20 million for the quarter and reflects progress we have made improving our core efficiency. Overall core earnings per share for the quarter increased 31% compared to the linked quarter at $0.34 per common share, which is comparable to $0.26 per common share for the second quarter as it exclude the previously discussed success fee and severance. Net interest income on a core basis was $25.3 million, an increase of $700,000 from the prior quarter. Net interest income grew at a 3.5% annualized rate adjusting for prepayment fees and day count. And net interest margin remained stable at 3.41%. The normal net interest margin headwind we experienced on the contractual cash flows on purchase credit impaired loans that are included when we present core net interest margin were more than offset by two basis point of prepayment fees we collected during the quarter and another two basis points from the reclassification of non-interest earning cash. Additionally, we were encouraged as the yield on portfolio loans held relatively stable at 4.22% compared to 4.23% in the second quarter and we were able to achieve a corresponding reduction in the cost of our liabilities. Our loan growth is translated to measurable net interest income growth over a short period of time. If you compare the current quarter run rate to that of the first quarter this year, our net interest income per day has increased by nearly $7,000. That may not seem significant but it's approximately $0.08 per diluted share on an annual basis. The growth in net interest income was achieved in the context of managing our balance sheet to preserve the mix of variable rate (inaudible), maintain and increase the proportion of C&I loans to portfolio loans and maintain our modestly asset sensitive interest rate risk position. We do this because we believe our strategy will enhance shareholder value over time and is appropriate for the current interest rate environment. Additionally, our credit performance evidences that our loan portfolio is comprised of relationships that we believe will help us maintain an already favorable credit risk profile. In that regard, asset quality trends on portfolio loans also continue to support growth in our core profitability. Net recoveries for the third quarter totaled $300,000 and lowered the year-to-date annualized net charge-off rate to six basis points of average loans. The continued favorable net charge-offs experienced combined with low levels of nonperforming loans and assets contributed to minimal provisioning credit cost during the quarter. Provision for loan losses on portfolio loans was less than $100,000 for the quarter compared to $1.3 million in the linked quarter. Nonperforming loans and assets both remained at relatively low levels at 0.79% of portfolio loan and 0.64% of total assets, respectively. And the allowance for loan losses covered nonperforming portfolio loans at September 30 improved to 158%. Also of note, the balance of other real estate owned from portfolio loans declined to $2.2 million at September 30, compared to $10.3 million a year ago. I would touch briefly on fee income and expenses in my opening comments. We believe we have stabilized fee income from wealth management and you heard from Scott that we had made progress in expanding deposit service charges as we continue our efforts to consistently fill the income annuity stream for each. Additionally, fees from our tax credit lines of business, both new market and state tax credit brokerage will contribute meaningfully on an annual basis but will not be stable on a quarterly basis consistent with past performance. Meanwhile we continue to be laser focused on opportunities to manage expenses wherever possible. I noted that expenses would have been below $20 million with the exclusion of a couple items for the quarter. This reflects our focus and demonstrates our ability to improve our core efficiency while allowing for opportunities to increase returns and investing growth whether the opportunities exist. In that regard, we are targeting expense a run rate of $19 million to $21 million for the fourth quarter and beyond. This reflects a $1 million reduction on a quarterly basis and includes the expenses that we have lowered thus far for 2014. It also reflects the additional expense savings we expect to achieve from the net personnel cost saving that resulted within the severance charge I also previously discussed. I want to conclude the detailed discussion by characterizing the performance of the purchase credit impaired loans or PCI loans for the third quarter. The PCI loans contributed $1.7 million of pretax income in the third quarter, which was a $1.3 million decrease from $3 million for the second quarter of 2014. We view the lower pretax contribution positively and I will attempt to further clarify why in a moment. Net revenue declined to $2.7 million for the quarter from $4.2 million in the previous quarter, driven largely by $1.8 million less of accelerated cash flow. The presence of less accelerated cash flows is not surprising and we expect this trend to generally continue for the foreseeable future. That does not mean we will not experience accelerations, however we anticipate levels more consistent with the current quarter than in previous quarters. As a result, we expected the total interest income to be more consistent gong forward and therefore attract more closely with the wind down in the loan balances. We expect the average balance of PCI loans to be $103 million for 2014 and approximately 80% of that for 2015 or $83 million. The accretion income excluding accelerations on the PCI portfolio for the quarter trended consistently with the underlying balances as the loan yields remained approximately 13%. As for the remainder of the line items that materially affected pretax net revenue, they improved slightly during the quarter due to generally improving credit quality. There was a provision benefit or reversal of $1.9 million, but also $1 million expense reported for additional FDIC clawback liability. The clawback expense was the result of our actual and projected losses tracking below the level estimated by the FDIC at the time of acquisition. We also continue to write down the indemnification asset on an accelerated basis as the IA decreased another $3.5 million to $22 million at December 30. With that being said, the level of write down declined slightly in the quarter, consistent with our previous statements and ongoing expectations that we expect the level of amortization will continue to decline. In previous periods, we have provide color around performance and expectations going forward, but today I am going to share with you more specific expectations as to what we estimate the color will translate to for financial performance for PCI loans. The net balance of PCI loans was $98 million at September 30, which is comprised of $208 million of contractual cash flows net of $73 million of non-accretable difference and $37 million of accretable difference. We expect the fourth quarter pretax contribution of PCI loans to be approximately 80% of that in the third quarter and for 2015 we expect the total pretax contribution to be approximately 90% of the 2014 level or $6 million to $8 million. Despite the balances declining 80% on average, we expect the accelerated write-off of the IA will be the net contribution to our*results as we expect the write-off of the IA will decline in future periods. Additionally, these estimates do not reflect any expectations for accelerations and they also reflect that we will fully utilize the current level of non-accretable difference to absorb inherent credit loess. Given our previous results demonstrate our credit estimate that's tended to the conservative, we feel comfortable that the recorded value of PCI loans and that there could be potential for a portion of our non-accretable difference to result in additional income. We had experienced some of that in the current quarter with the provision benefits that was recorded. I hope my comments provide an additional layer of color performance of the PCI portfolio for both current and foreseeable future. I will continue to clarify my guidance and comments going forward as we will certainly experience some change in assumptions from additional information and more importantly from actual performance of the underlying loans. Clearly, we continue to focus on maximizing the value of the PCI loan book for our shareholders, but our principal focus remains on improving the level and contribution of core earnings for when the contribution of PCI loans dissipate in several years. During the last two quarters, we had demonstrated our ability to increase core contribution by growing loans, translating that growth into consistent gains in core net interest income and modest expense improvement resulting from implementation of expense controls. Continued favorable credit performance and asset sensitive interest rate risk profile and sufficient capital to fund our asset growth sets the table for us to deliver increasing long-term shareholder returns. Our focus always remain taking care of the balance sheet, while making consistent progress on returns, particularly within the core bank and only view the third quarter as a success for those reasons, we believe it is confirmation that our strategies have begun to deliver results and we will work to continue this progress and maintain improvement in our financial performance. Thank you for joining us today. And at this time, we will open the line for any questions.
Operator: (Operator Instructions). And we will go first to Chris McGratty with KBW.
Chris McGratty - KBW: Hi, good afternoon, everybody.
Peter Benoist: Hi, Chris.
Keene Turner: Hi, Chris.
Chris McGratty - KBW: Hi, Peter. You guys generate quite a bit of capital organically. Given the volatility of earnings, you are just accreting capital from the purchase impaired [ph] book fairly quickly, yet your stock did, kind of, $1.25 (inaudible). How do you guys feel about a buyback at some point to get the stock a little bit higher? And can you talk to us about, maybe, expectations for, maybe, a dividend?
Peter Benoist: Yes. Good question. It's a topic, I think from the Board's perspective, that we will have some discussion on. I think our current view right now is the focus was on generating capital. In terms of capital deployment, we have talked a lot about M&A vis–à–vis a primary opportunity. I don't have any new comments as it relates to our position on M&A relative to updates beyond what I said last quarter. In that context, obviously, our currency in terms of where it's currently trading gives us some pause from an M&A perspective in terms of timing, but we still look at it as a primary opportunity to deploy capital. But beyond that, to the extent that those opportunities don't come to the fore, I think it's accurate to say that the Board will have some discussion around your two questions.
Chris McGratty - KBW: All right. Fair enough. Thanks. Keene, on the earning assets, how should we be thinking about the securities book on a dollar basis? It's not large, but should we be thinking earning asset growth trailed loan growth as you remix?
Keene Turner: Yes. I think some of that will have to do with where deposit levels go. I think right now it's going to trail a little bit, but I would say, over the next two quarters, you will see us reinvesting a little bit more. But for right now, I think we are expected to trend down in the near-term and then we will have to maintain a level for 2015 as we fund more assets and loan growth.
Chris McGratty - KBW: Great and just one last one and then I will hop out. Interest rate sensitivity is obviously a hot topic. You guys are asset-sensitive, as you described. Can you talk about the proportion of your C&I book that's currently with floors?
Keene Turner: It's a pretty small proportion. I think it's less than 20%. We would still benefit when you look at our asset sensitivity with rates up just modestly. So I think that really helps us. That is a pretty small proportion. We have seen a lot of competition drive the floors out of most of our deals.
Chris McGratty - KBW: All right. Thank you very much.
Operator: And we now go to Jeff Rulis with D. A. Davidson.
Jeff Rulis - D. A. Davidson: Thanks. Good afternoon. It seems like the operating expense guidance range has lowered over time, now in the $19 million to $21 million a quarter. I guess, has something structural changed in allowing that to be lowered?
Peter Benoist: Jeff, this is Peter. No. I wouldn't say anything structural has changed. I think I have indicated in prior quarters that we sort of view or discipline our expenses as a process, not an event. A structural change would be an event. We just continue to be very focused on looking for opportunities to drive greater efficiencies. You are seeing the results of that now in terms of the numbers and in that context. That's why we are revising our guidance down. I think we feel pretty good about our efforts to-date. We have indicated in our comments that we continue to focus on the cost side of the business. What we are intending not to do though is impair our revenue momentum or our growth momentum, which we feel very good about right now. So in that context, we will continue to focus on the cost side. Some of that relating to application of technology in ways that perhaps we haven't done as consistently or as thoroughly as we do now, which again is an efficiency move, but again designed to also to enhance the revenue side of the equation, not just the cost side of business.
Jeff Rulis - D. A. Davidson: Right, and not to belabor this too much, but I guess if you are at the low-end of that range, does that mean growth opportunities haven't necessarily transpired? And then if you are at the high-end, it's that you have, I guess, acted upon some opportunities that you do see. Would that correlation be correct?
Peter Benoist: I don't know that I follow your thinking there.
Jeff Rulis - D. A. Davidson: Well, if it's at the low-end, in other words, if growth doesn't play out as you foresee, we would see lower expenses, but if you are seeing greater opportunities and room for investment, it might be at the high-end. Or is that just simply not growth-dependent? It's just a range that you feel comfortable operating in?
Peter Benoist: Maybe dividing the two. We will continue to invest in greater opportunities. And in that regard, a lot of that, I think does relate to some of the comments we have made from a recruiting and hiring perspective, particularly (inaudible) both the wealth business and commercial banking business. In that context, you have seen the results of some of that over the last two quarters, given loan growth. We have seen that now really play through in Kansas City. Scott has commented on that in past quarters. We are beginning to see origination activity and funding activity in Arizona as a result of investments in talent out there. So we have never change our position in that regard in terms of investing for growth from an HR perspective. Where we tend to focus more in terms of the cost side of the business, or what I call the back-end of the business where we can drive greater operating efficiencies by looking at processes that we can hopefully apply technology to and overtime take labor out of. That wouldn't necessarily impair growth. To your point, if we saw growth rates slowing or the opportunity to continue to grow diminished, I suspect we look at the cost side of the business just the same way we are looking at it right now.
Jeff Rulis - D. A. Davidson: Great, thanks and maybe just a quick housekeeping. The tax rate, bounce around but in the same range, I guess that mid-34 is still a good number to use, going forward?
Keene Turner: Yes. We think that that's a good rate.
Jeff Rulis - D. A. Davidson: Okay. I appreciate it. Thanks.
Keene Turner: Thank you.
Operator: (Operator Instructions). And we go next to Andrew Leisch with Sandler O'Neill.
Andrew Leisch - Sandler O'Neill: Hi, guys. Good afternoon.
Peter Benoist: Hi, Andrew.
Keene Turner: Hi, Andrew.
Andrew Leisch - Sandler O'Neill: I am curious, was there much of a contribution from the mortgage banking business this quarter?
Peter Benoist: We saw a little bit of revenue from it, but the contribution was relatively muted.
Andrew Leisch - Sandler O'Neill: Okay. You guys covered rest of my question. So I am going to hop back. Thanks.
Peter Benoist: Thank you.
Keene Turner: Thanks, Andrew.
Operator: We will go now to Daniel Cardenas with Raymond James.
Daniel Cardenas - Raymond James: Good afternoon, guys.
Peter Benoist: Hi, Dan.
Keene Turner: Hi, Dan.
Daniel Cardenas - Raymond James: Could you give us some guidance as to what loan to deposit ratio you would be comfortable operating at?
Keene Turner: Well, I think right now, we are getting to the 95% to100%. I think we are looking at moving it down from there from 100%. So that would be on a short-term basis. We wouldn't let it move up or down within a range depending on what our expectations are for particular deposit levels or funding. Typically we see some elevated deposit levels at the end of the year and I think this year is no exception to that. So right now, we would probably be at our highest loan to deposit ratio and we expect that to come down over the next several quarters and then maybe loop back up in the next year or so. So we are certainly focused on deposit gathering and deposit generation and the reason I think you seen some of the positive level, for the loan to deposit move the way you have is, we try to fund the liability side as efficiently and cheaply and it's driven that ratio up just slightly for us, but we have the ability to manage that down if we need to.
Daniel Cardenas - Raymond James: Okay and then, is there any particular market that shows, perhaps, greater promise than others in terms of deposit gathering?
Scott Goodman: Dan, this is Scott. I can handle that one. I think our base of C&I business really gives us some good flexibility to continue to grow deposits. We have got a strong treasury management team in Kansas City and in St. Louis and intend to use them proactively to go after deposit-only type relationships. So I think both Kansas City and St. Louis have promised there, in terms of deposit development.
Daniel Cardenas - Raymond James: And are you seeing a pickup in competition in of your markets on the deposit side?
Keene Turner: I wouldn't say necessarily that we have seen more intense competition. I think there are several smaller banks that tend to be a little more focused on it. So I haven't seen anything from a competitive standpoint.
Daniel Cardenas - Raymond James: Okay, great. Thanks for all the color, guys.
Keene Turner: Thank you.
Operator: And we will go now to Brian Martin with FIG Partners.
Brian Martin - FIG Partners: Good afternoon, guys.
Peter Benoist: Hi, Brian.
Brian Martin - FIG Partners: Maybe can you talk a little bit about the loan yield stabilizing? Is that kind of consistent across all the markets? Do you feel like we have kind of reached the bottom here on the loan yield compression? Or are you still holding your own?
Keene Turner: Brian, this is Keene. I am not sure we are seeing the bottom. But we have certainly seen a much greater stabilization, I would say, when you look at rates coming on. We see that rate holding up much more generally. I think our volume has been pretty stable, by market and by type. So we haven't seen real big repositioning of the balance sheet like we did over the last few quarters from fixed to variable. So that's helped us a little bit in that regard. And then there is still going to be a little bit of net yield compression from some higher rates still coming off, but as you pointed out, it does look better and we are seeing a little of little bit of light there. We will continue to get a little bit of yield and net interest margin compression as it varies by quarter depending on how some of that activity plays out over the course of next year, but we certainly feel a lot better about it sitting here today than we did early in the year.
Brian Martin - FIG Partners: Okay. Well, can you just talk a little bit about, you have talked about these expense initiatives you guys have done. Maybe kind of what specifically you have taken on? And then the guidance range, whatever the $19 million to $21 million-ish, does that include or exclude any impact of the FDIC clawback potentially?
Peter Benoist: Well, I would say that the guidance range is exclusive of any FDIC clawback. That includes any operating costs for that book, but not necessarily any clawback and I don't think we currently anticipate any additional clawback. If we did, we would have reported it. So from that perspective, and also to, I would just point out, I know we have got a lot of focus here on the lower expense run rate, by and large, if you look back a year, we have improved credit costs and we have improved legal costs along associated with reduced levels of OREO and classified loans, et cetera. So a fair part of that reduction to the lower end of our $20 million to $22 million run rate is really just from improved position and cleanliness of the balance sheet. And then a little bit of the rest of it is just some modest areas of efficiency improvement that we have been able to drive out of the business and challenged ourselves on. So there really isn't a big model shift there or anything like that and we look at it a little bit differently, maybe an terms of, it's an opportunity for us to redeploy, if we do have an investment opportunity in talent or customer facing books.
Brian Martin - FIG Partners: Yes. I guess, and just to that point, I mean, other areas you are reinvesting in currently? Or has it been more just the former at this point?
Peter Benoist: Can you clarify your question, Brian? I am not sure I gathered that.
Brian Martin - FIG Partners: The areas you are investing in the business to grow the business. You have talked about the savings and expense kind of cuts you have made, but anything you are currently investing whether it be new initiatives or anything to grow the business? Were you seeing opportunities?
Scott Goodman: Well, Brian, this is Scott. I think talent certainly is the area I mentioned where we are starting to see some traction in Kansas City from the talent we have added there. We continue to have our eyes open in all our markets. We did in fact add an additional experience C&I to lender recently, another one in Kansas City that had experience with UMB and bank hold interest. So w are opportunistic there where we could pickup some talent that can add. We would have our eyes open, it there were team opportunities as well. So those are ongoing discussions.
Brian Martin - FIG Partners: Okay, All right. That's all I had. Thanks very much.
Operator: We have no further questions in queue at this time.
Peter Benoist: I would just wrap up. Hi, this is Peter Benoist, saying we feel great about our momentum at this point. We are sort of heading into 2015,. I think with a great positioning in all our markets. We expect, as we have indicated relative to loan growth will continue. So we feel very hood about where we are. And we look forward to meeting with you again at the end of the year. Thank you for joining the call. Thanks very much.
Operator: This concludes our conference. Thank you for your participation.